Operator: Good day and welcome to the BrightSpire Capital Inc. Third Quarter 2024 Earnings Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to David Palame, General Counsel. Please go ahead.
David Palame: Good morning, and welcome to BrightSpire Capital's third quarter 2024 earnings conference call. We will refer to BrightSpire Capitals as BrightSpire BRSP, or the company throughout this call. Speaking on the call today are the company's Chief Executive Officer, Mike Mazzei; President and Chief Operating Officer, Andy Witt; and Chief Financial Officer, Frank Saracino. Before I hand the call over, please note this call certain information presented contains forward-looking statements. These statements, which are based on management's current expectations, are subject to risks, uncertainties and assumptions. Potential risks and uncertainties could cause the company's business, and financial results to differ materially. For a discussion of risks that could affect results, please see the Risk Factors section of our most recent 10-K and other risk factors and forward-looking statements in the company's current and periodic reports filed with the SEC from time-to-time. All information discussed on this call is as of today, October 30, 2024, and the company does not intend and undertakes no duty to update for future events or circumstances. In addition, certain financial information presented on this call represents non-GAAP financial measures. The company's earnings release and supplemental presentation, which was released yesterday afternoon and is available on the company's website presents reconciliations to the appropriate GAAP measures and an explanation of why the company believes such non-GAAP financial measures are useful to investors. Before I turn the call over to Mike, I will provide a brief recap on our third quarter 2024 results. The company reported GAAP net income attributable to common stockholders of $12.7 million, or $0.10 per share, distributable earnings of $17.9 million, or $0.14 per share, and adjusted distributable earnings of $27 million, or $0.21 per share. Current liquidity stands at $416 million, of which $251 million is unrestricted cash. The Company also reported GAAP net book value, of $8.39 per share and undepreciated book value of $9.11 per share as of September 30, 2024. Finally, during this call, management may refer to distributable earnings as DE. With that, I would now like to turn the call over to Mike.
Mike Mazzei: Thank you David, welcome to our third quarter 2024 earnings call, and thank you for joining us this morning. I am pleased to report that since our last call not only have market conditions improved, but our continued focus and ongoing efforts on the portfolio have yielded tangible results this quarter. This meaningful progress on our existing portfolio, and balance sheet has strengthened BrightSpire's position. As a result, we have started new loan originations while maintaining our financial flexibility, to proactively manage remaining watchlist loans and REO. The commercial real estate debt markets are very active. Both CMBS and CLO capital markets issuances have made a strong comeback year-over-year. We've also seen tightening of both loan and securitization credit spreads. In addition, bank warehouse spreads have been following suit. Furthermore, the ongoing reduction in short-term rates obviously bodes well, for the commercial real estate market. Within this positive context, we can confidently say that our warehouse banking partners as well as CLO investors are incredibly supportive of BrightSpire, underscoring the broad confidence in our brand. On that note, during the quarter BrightSpire completed its third CLOs. This transaction was $675 million and features both an $85 million ramp, as well as a two-year reinvestment period for further expanding our lending capacity, and flexibility for future investments. This market leading transaction was the first CRE, CLOs comprised of entirely seasoned loans. The collateral for this new CLO, were a combination of loans from our warehouse lines as well as our 2019 CLO. These loans have a remaining final term of just 24 months. Therefore, given the short tenure of the loans, the likelihood of a complete turnover during the CLOs two-year reinvestment period is very high. Importantly, the optionality embedded in the CLO further enhances our asset, and liability profile. This transaction was well received with 20 investors participating, across all offered tranches including the sale of the lowest rated investment grade tranche. Lastly, this transaction meaningfully added to our cash liquidity, which as of today is $251 million. This is our largest cash balance in 18 months. On our last earnings call, we mentioned that we would restart loan originations. On that note, subsequent to quarter end, we closed on our first loan and another loan is in process. While it may seem insignificant to mention one loan closing, it marks an inflection point for our company. While still early in the process, our team is now consistently quoting new loans as we work to rebuild our pipeline. While capital market conditions for CRE lending have dramatically improved and should continue, demand for CRE credit is still gradually recovering, but the continued improvement in the capital markets along with ensuing rate cuts, will serve as the much needed catalyst for CRE asset sales, and demand for credit in 2025. It's a very exciting time to be back on offense, with a view toward growing the loan portfolio and earnings. Moving to the watchlist during the quarter, we reduced our exposure on a net basis through a combination of asset resolutions, loan upgrades and conversions to REO. In addition, we have begun resolving existing REO assets as we sold the Washington, D.C. office property and have started marketing the Oakland office asset. Given our cash liquidity position, we've elected to delay the sale of our Phoenix multifamily asset, until the second quarter of 2025. While the property is stabilized, we expect to achieve further near term performance improvements, while also gaining to benefit from the impending rate cuts. During the course of 2025, we anticipate exiting a number of our assets that are REO or currently in foreclosure. Our current liquidity position and low leverage allow us to pursue resolutions in a measured way, with an eye toward maximizing value. Regarding our stock price, the current dividend yield of approximately 12% is roughly 200 basis points higher than the average, for our peer group. Further, BRSP is trading at a roughly 40% discount on our underappreciated book value of $9.11. As a reminder, this book value includes a CECL reserve of $1.20 per share as well as a cash balance of $2 per share. This discount to book value equates to almost $4 per share and implies a nearly 500 million additional haircut to our common equity capital of $1.18 billion. The market price also implies no value attribution to being internally managed. We acted on this disconnect during the quarter and opportunistically repurchased 1.2 million shares at an average price of 552. This buyback emphasizes our conviction of the embedded value in our current share price. Before I turn the call over to Andy, I would like to underscore the significant progress we made in the third quarter. From the new CLO and our enhanced liquidity position to the share buyback, the return of loan originations, and the positive results in our watch list, the BrightSpire team has hit on all cylinders. We will continue to build on this progress and are encouraged about our ability to further strengthen and grow our loan book over time. And with that I will turn the call over to our President and Chief Operating Officer, Andrew Witt. Andrew?
Andy Witt: Thank you, Mike. During the third quarter we received $146 million in repayments and resolution proceeds across 11 investments. Deployment for the quarter and subsequent to quarter end totaled $41 million inclusive of the recent new loan origination and $15 million of future funding obligations during the quarter. As of quarter end, future funding obligations stand at $108 million, or 4% of outstanding commitments. The remaining loan portfolio consists of 76 investments with an average loan balance of $34 million. For the remainder of my prepared remarks, I will focus on the substantive progress we have made on the existing portfolio and more specifically the watch list. During the quarter we initiated action on a significant portion of the watch list loans. Some of these we've been able to address in totality during the quarter. As a result of these efforts, the total number of watch list loans on a net basis has been reduced to nine from 12 last quarter inclusive of one downgraded Denver multifamily loan. We fully resolved two multifamily watch list loans, moved one loan to REO and upgraded one loan from a risk ranking of four to a three. The Phoenix multifamily Loan, whose underlying property was under contract for sale, closed during the quarter. Additionally, during the quarter we received a payoff in line with our CECL adjusted basis on Milpitas Mezzanine Loan, which was placed on non-accrual in Q1 of 2024. Last quarter we downgraded the Las Vegas Mezzanine Loan given uncertainty around the borrower's Go Forward plan. The borrower has since committed significant additional capital to the property, which will see the property through stabilization. Given this development and our renewed confidence in our loan basis, we upgraded the loan from a risk ranking of four to a three. The loan is expected to perform consistent with its original terms with no modifications. In aggregate, these three loans were held on our books at a collective $81 million as of Q2. 2024. As for the $48 million Dallas multifamily loan, which was added to the watch list in the second quarter of 2023, we took control of the property during the third quarter of 2024 via a preferred equity structure in the borrower. As such, we were able to quickly move it from a watch list loan to REO. The Go Forward plan for this property is for BrightSpire to continue executing the value add business plan to stabilize the property and ultimately exit the asset. Using our in-house vertically integrated asset management capabilities, we seek to follow a playbook consistent with the success we experienced with the Phoenix Multifamily REO property we foreclosed on late in the fourth quarter of 2023. Lastly, as it relates to our watch list, our San Jose hotel loan for $136 million is currently in default and we have taken additional steps in pursuit of a foreclosure. During the second quarter of 2024, BrightSpire placed the loan on non-accrual and downgraded the loan to a risk ranking of five from a four and commenced foreclosure proceedings. We are not in a position nor do we think it would be prudent to provide incremental detail at this time. This loan accounts for approximately one-third of our total watch list exposure as of quarter end. As for REO Updates, the Washington D.C. office property sold as anticipated early in the quarter at our NAV. As Mike highlighted, we are also in the process of marketing for sale the Oakland office property. We are continuing to pursue value enhancing strategies on our Long Island City properties. Lastly, as previously mentioned, we have made substantial progress on our Phoenix Multifamily REO property. We have stabilized the property and occupancy currently stands at approximately 90%. When we took over the asset, occupancy was in the low 60s. We anticipate continuing to operate the property, pushing occupancy up by another couple hundred basis points and will look to list the property for sale in the first half of 2025. The progress made this quarter on our existing portfolio was substantial. We anticipate the investment portfolio will continue tracking positively as we add newly originated loans and resolve our watch list and REO. The actions taken during the quarter have further reduced uncertainty related to the underlying portfolio and its carrying value. We look forward to growing the portfolio and driving earnings through new originations. With that, I will turn the call over to Frank Saracino, our Chief Financial Officer to elaborate on the third quarter results. Frank?
Frank Saracino: Thank you, Andy and good morning everyone. Before discussing our third quarter results, I want to mention that our third quarter 2024 supplemental financial report is available on the Investor Relations section of our website. For the third quarter we generated adjusted DE of $27 million or $0.21 per share. Third quarter DE was $17.9 million or $0.14 per share. DE includes specific reserves of approximately $9.1 million. Additionally, we reported total company GAAP net income of $12.7 million or $0.10per share. Quarter-over-quarter, total company GAAP net book value decreased to $8.39 from $8.41 per share. Undepreciated book value increased to $9.11 from $9.08 per share. The increase is mainly driven by adjusted DE in excess of dividends declared and share repurchases during the quarter. Looking at reserves, during third quarter we recorded specific CECL reserves of $9.1 million related to both the Phoenix, Arizona and Milpitas, California multifamily loans. As Andy previously mentioned, both loans were resolved in line with our CECL adjusted basis. As both loans were resolved in the third quarter, we charged off their specific reserves. Additionally, we charged off reserves associated with the Dallas multifamily loan, where we took control of the property through a preferred equity instrument and moved it to REO. Our general CECL provision stands at $155.7 million or 578 basis points of total loan commitments, a decrease of $16.1 million from the prior quarter. The decrease in the general CECL was primarily driven by the resolution of the three loans referenced above. Net-net, the general CECL Provision for the third quarter totaled $1 million, a slight increase from the conservative levels established over prior quarters. Turning to our dividend and earnings from cash flow, for the third quarter, we paid a dividend of $0.16 per share and had earnings from cash flow of $0.17 per share. This concludes our prepared remarks. And with that, let's open it up for questions. Operator?
Operator: We will now begin the question-and-answer session. [Operator Instructions]. Our first question today comes from Stephen Laws with Raymond James. Please go ahead.
Stephen Laws: Hi, good morning. First off, congrats on an active quarter. You guys clearly got a lot done past few months and appreciate the updates on all the assets, Andy. Mike, want to start maybe on the new investment kind of the return to offense you mentioned closed one loan in October, another one looks like here soon. Can you talk about your outlook for portfolio size? Is this a place where you're looking to kind of reinvest repayments, and maintain leverage or kind of given the ramp feature in the CLO, and current leverage levels, do you expect to see leverage grow over the next couple of quarters.
Mike Mazzei: Hi, thanks. Great to see you. Hear you. Yes, we expect leverage to grow. It did that with the CLO in fact, because we took that portion of the portfolio up to something like 86% leverage. So we picked up a little bit there. But yes, we have under leverage across a lot of the assets here on our watchlist. Some of our hill assets are totally unencumbered. So we expect our leverage to tick up to 2.5%. Maybe north of that closer to where normalization level should be as we redeploy. Absolutely.
Stephen Laws: Great. And then I wanted to ask about capital allocation. Clearly, stock reacting to the positive comments and the results, significant discount to book. How do you think about capital allocation between new investments and stock repurchases? Is it a situation where you continue to have the capacity to do both for some period of time? Just curious how you think about the trade-offs from a return standpoint, and best use of capital?
Mike Mazzei: We have the capital to buy back stock, yes. And we still have, I think over $40 million of approval from the Board to do so. The stock got to a level that we felt was kind of ridiculous, at 12% plus dividend yield, and some of the points we made in the prepared remarks about at a $9.11 never say never. Yes, there could be some things that happen in the portfolio. I don't think anyone can tell you that surprises can happen, even this late in the game regarding CECL reserves, or some adjustments to book value. But when you look at the $1.20 per share, which is pretty relevant, and you look at the cash balance we have, and the cash balance really is, what you need to maneuver assets in the balance sheet. From a liquidity standpoint, when assets need to get pulled out of the CLO like we've done in the past. That liquid allows you to harvest the book value and get closer to book, on resolution of assets. And as I said, it's almost $4 below the $9.11. So take out our material, take out our supplement, take out our CLO offerings. Even the CLO that we collapsed, there's a lot of information about assets there, and go through it yourself. We give a lot of disclosure and I challenge you to come up with $12. And so, we kind of looked at it the same way, and said the stock is cheap, it's cheaper than what we could make in terms of investments right now. We had the capital, so we did that. We much prefer to do our business, which is make loans, but the market for loans right now are tight. It's still thawing out. We talk about that later in this conversation. But at this point, we entered the market, we bought back - 2 million shares. The window closed and we'll continue to reassess that. And yes, if the stock dips to these levels that we bought back before, yes, we think that's, we've made a statement. We think that's an attractive level.
Stephen Laws: Great. Appreciate the comments around your thought process there. Thanks, Mike.
Mike Mazzei: Thank you for asking.
Operator: And our next question today comes from Steve Delaney with JMP Securities. Please go ahead.
Steve Delaney: Thanks. Good morning, everyone. Congrats on the progress made in the third quarter. It's really nice to see the stock market reward your BRSP shares this morning up 9% to 10%. Just curious about the bridge loan opportunity, Mike, as you laid it out. With the current pickup in demand, your portfolio is at $2.6 billion at September 30. If we look out to say the end of 2025, since this year is almost done, just in rough dollar terms, do you have a figure in mind as to where that portfolio, could reach in terms of principal balances outstanding by the end of next year? I'm talking about the bridge book? Thanks.
Mike Mazzei: Well, there is where we want it to be and where it can be. And so, obviously the market is just still, as I said just in the previous answer, it's still thawing out. But we'd like that to be $1 billion bigger than where it was – more….
Steve Delaney: On top of the $2.6 billion?
Mike Mazzei: Yes. There's no reason why we have the capacity to get, with the cash we have on hand. Even if you look at Steve, if you look at saying you want to maintain a cash balance of liquidity, to support the portfolio's needs going forward and pick a number, whether its $75 million, we also have the revolver, which we can use and we have not ever tapped, but we have it there. But if you look at that, a cash balance of something like $50 million, $75 million, you look at the cash we have today, you look at some of the under-levered assets we have the LIC or I should say, I'm sorry, I'm a New Yorker, so I say LIC. I should say Long Island City. The Long Island City assets are unencumbered. The San Jose hotel asset is very low levered. So, we have a lot of equity embedded in some of those assets in addition to the cash that we have. So you just take, you take $150, $200 and you say, okay, put a warehouse multiple on that, and you can get to $1 billion in new loans. So yes, we expect that. Now the market, we can talk about market conditions. I'll let you do the follow-up question. But we - then there's the market, right. Life comes at you.
Steve Delaney: So Mike, I can't remember, but I probably had asked you this before on a call and I apologize. But given your work experience and knowledge of the market, do you see a day where you would see BrightSpire evolving into doing fixed rate lending, CMBS conduit lending for take-outs on your bridge book? Is there an evolution naturally from the bridge portfolio into writing CMBS loans?
Mike Mazzei: So you just gave me a flashback to like 30 years of my career, which that's all I really did was the securitization lending. And when I was working with my friend Brian that was a big part of my duties at that company. And when you look at these transactions, Steve, you've got seven or eight participants in one deal. And I will say the street has done a fantastic job in the conduit business and healing it, but that is a very competitive market right now. And knowing what it takes to be in that market and manage risk, manage the rating agency process, manage [BP Spires], manage your shelf partners that takes an enormous amount of effort. And when you look at the dollars that these contributors are putting in deals that range between one loan to maybe $50 million. And so, while it's enticing to see that folks are making 2.5 points on five-year loans, you really have to look at the barriers of entry there and they're pretty high. We would love to have a TRS business. It's something that we definitely have the resources and capability of doing. You saw the execution we had on our CLO. It was the first time a CRE, CLO had 100% of its collateral with preexisting season loans. And when you look at what we got there, we've got the $85 million ramp and the two-year reinvestment period. So in terms of a brand, I think that we would be very welcome into some of these shelves. And we have the capability, but in terms of allocation of resources and risk, I don't see a good return on that based on the resources we'd have to put into it right now.
Steve Delaney: Yes, and you've got plenty…?
Mike Mazzei: Sorry for being so long winded on that.
Steve Delaney: No, no, that's quite all right. And then - that thing can evolve. I think what I'm hearing On the call, the opportunities that you guys have to grow earnings over the next 12 to 18 months just by managing your own assets and resolving issues is probably a much better use of your time and effort. You could always look at more strategic things, down the road once you've optimized your balance sheet. So congrats on the progress you made.
Mike Mazzei: Thank you. But we could do it. I mean we do have the people here and the systems that can do it. I will also just add there are some loans in the portfolio where we resize those loans to conduit standards to see what those take-outs could be. And there may be some loans that if the opportunity does arise where we can convert a borrower to fixed, and sell that loan to a conduit contributor, or share on the upside on that, we absolutely would do that.
Steve Delaney: Got you. Thanks so much, Mike.
Operator: [Operator Instructions] And our next question today comes from Jason Weaver with Jones Trading. Please go ahead.
Jason Weaver: Hi guys. Thanks for taking my question. Thanks for the commentary on the watchlist transitions. I wonder if you could talk a bit more about the timelines for resolutions that you expect over the next couple quarters. And if you have any color on if that could lead to further general CECL reserve releases?
Mike Mazzei: I think we're pretty comfortable with our CECL right now. There are potentially loans where you might be over CECL on that, so to speak. I just invented a word, I guess. But generally speaking we're comfortable there and I think we're close enough to home if something were to deviate. We feel that CECL is substantial. Regarding resolutions, you see that we moved a loan to risk 5 that's a Texas multifamily. Texas has very fast foreclosures. So, we expect that to by next quarter to be in our REO bucket by then for sure. We are in the process of closing, foreclosing on sorry, the San Jose Hotel. That is a public record. There is a public sale filing date at this point. I wish I could say more about that, but I'm going to be judicious and not comment on that. We'll let that play out. But generally speaking, if we look at our risk 5 that's about 40% of our watchlist is in foreclosure. So we are moving those as quickly as possible and they are what I would call actionable. In the risk rated 4, if you look at there are two multifamily in that there is the Vegas one and the one we just downgraded, which is in Aurora, Colorado. We expect faster resolutions on that. One of them may result in an upgrade in the Vegas one, but we would go either way on that one. We like that property. The other one we think will get resolved. It got into the watch list unexpectedly given. I'll just say it's in Aurora, Colorado. We don't have any issues at the asset at all. But there was a little bit of a chilling effect there with a sale that we are now following through with. So we moved it down a category to risk. But we expect those to get resolved quickly. So there you've got about between those four assets, you have about 60% of the remaining watch list which we think is could be moved on relatively quickly. Like I said, the San Jose hotel loan that is in full closure. We have a sale notice date and we're going to play that through. But that's 60% of the watch list is pretty meaningful.
Jason Weaver: Got it. That's helpful. And then it would seem after the dividend cut, at least to me it seems like the trajectory remains for you to continue to over earn looking ahead. Any implications for policy going forward and would that in retrospect? Would that be reflective of better than expected performance, since when you set that back in the end of July?
Mike Mazzei: Well, when we set it back well right now this quarter we covered dividend on DE and on cash. And we were really focused on the cash coverage aspect. And when we cut the dividend it was really more like a coverage -- cash coverage that we felt we would hover around breakeven. And there is a chance that we can dip slightly below that and that we may have leakage over the course of the next 12 months. And that really depends on capital deployment. So the sooner we get dollars out the door and the sooner we can get into the market and execute our fourth CLO that will really support earnings a lot better and support that dividend. As I mentioned earlier, we have a number of underlevered assets which are drag. So the bottom line is we're going to hover around that number. There could be some leakage and it all depends on how fast we can deploy.
Jason Weaver: That's helpful. Thank you for the time.
Mike Mazzei: Right now as far as we can see, we cut that dividend. We understood when we cut it with the board everything I just said. And so there's nothing there out me that tells me things will change in that horizon.
Jason Weaver: Got it. Thanks, Mike.
Operator: And our next question today comes from Eric Dray with Bank of America. Please go ahead. Hey everyone.
Eric Dray: Hi, everyone. Good Morning. Mike, you kind of feel like talked around this, but I was just curious about your insight onto the pipeline growth. And you talked about how demand is kind of gradually building, but was curious about timing on how long it's going to take to kind of build out that pipeline? Any areas you guys are focused on specifically and then kind of timing on when we go from the pipeline filling up to seeing originations kind of really tick up?
Mike Mazzei: Okay. So I'll give you some insights as to how we see the landscape. I think this will be consistent to what you've heard on previous calls this quarter. And Andy can tell you a little bit about what we're seeing in terms of product type. And we don't -- to get to the end of your answer, obviously we don't, we don't have a handle on that as we rebuild the pipeline. I don't think anybody really can. The landscape right now is -- we're seeing about I guess a third in terms of inquiry of what we've seen in kind of like late '21, early '22. You're seeing billions of dollars of product come in the door, absolutely. But in terms of actionable product, actionable loans, that's a little bit of a different story. On the acquisition side, consistent what you may have heard on other calls, we are seeing a pickup in acquisitions, in acquisition financing. I think that has a lot to do with the capital markets with the Fed and spreads tightening. And we think that we know. I've spoken to with our team. A lot of the brokers out there on the investment sales side, they think that Q1 activity is going to pick up dramatically. And I think some of the earnings calls for some of the larger national brokers are indicating the same. With regard to the refi market, the smaller banks are -- they're not selling assets, they're trying to reduce commercial real estate exposure but they're really not reducing risk, meaning they're not selling the assets that are fully performing. They're going to try to kick the can on those. So you have this kind of like loan lock in commercial that you have in single family only for different reasons. Borrowers are locked into their loans from not just a rate perspective but from a credit perspective. So from the smaller banks, we're seeing refi inquiry come out of those banks mostly out of construction loans where the bank is not rolling into a mini perm for lease up. They want out of the construction, the borrower wants out of the construction loan because they want out from under the construction loan guarantees. But what they want from us and from the lending market is they want to get the same proceeds they had in their construction loan. They want you to fund closing costs. And if they had a fund overruns in construction, they want that equity back too. So that's just not happening. And so we're seeing a lot of inquiry come in for refi. But I'll use a word that others have used in previous calls. We have not yet seen that reset yet and something has to force that reset to happen. Certainly the banks are pushing these borrowers out saying we don't want to roll into the mini perm. Now when you look at the other side, when you think about how you look at a pipeline going forward, there's a huge supply of credit out there. So the non-banks are back in the market and as we are this quarter, others are already in, others are entering. So there is a tremendous supply of credit. But the reset is still on. The demand side has still been gradual. You're seeing a lot of activity in the CMBS market, but it's still a fraction of what it's been in the past. I would also add that we're very constructive on spreads for a lot of reasons. Just as I said, there is a huge supply of credit that means willingness to lend and investors willingness to buy securities. So we expect the cost of funds on our CLO and warehouse lines to continue to drop commensurately with spreads on the lending side. And we think that spreads will continue to tighten. There's a dearth of product out there. Whether it's whole loan product, wholesale product or securitized product, there's a dearth of product. The banks are very much willing to lend on the warehouse side. Warehouse lending has been their best performing asset. Not only does it get the lowest risk rating versus whole loan, but also in terms of ROE and default rates, it's truly outperformed the banks generally their loan portfolio. So very constructive on spreads. But in terms of supply we still need that thawing out. Andy, can you give a little bit of a context? Because I think we can answer a lot in this one question here. Can you give some context on what we're seeing product wise?
Andy Witt: Sure, Mike. So in terms of our pipeline, we're focused as our brethren on primarily multifamily industrial and then to a lesser extent retail and hospitality. And in terms of the housing opportunity or residential opportunity, what we're seeing is construction takeout opportunities. We're seeing the recapitalization of the existing multifamily housing stock. And then we're also seeing quite a bit of build to rent product. And I would say in terms of our portfolio, or rather the pipeline, about 50% of what we're seeing, a little bit over 50% has been in the residential sector and then the rest of the asset classes make up the remaining.
Eric Dray: Got it. Super. Really appreciate all that color. That's really great. And then I guess going from really wide to a little more narrow focused, it seems like the REO is kind of moving quickly, which is great to hear. We're just kind of curious about the Long Island City assets and maybe a little color on kind of the plan there. And it sounds like that one might be a little bit of a longer process. So any color there would be would be great?
Mike Mazzei: You were saying that the REO assets are moving quickly, I immediately thought about the Long Island City assets and you got there a millisecond later. The Long Island City assets have been a little bit on the slower side than we'd like. Obviously, we are getting a little bit more traction in terms of inquiry, certainly on what I would call the Paragon Building, which is the building that sits on top of the subway system. We have a number of schools that we're interested in the site, and we're getting a lot of government agency type - of interest in the asset. So that's a long way of saying we've got interest inquiry, but - we're nowhere near where we want to be. I think there is an end gate on that, where we've got a lot of capital tied up in those. When you look at imputing like a 12 ROE in terms of what you want to do in terms of the cost of that capital and the opportunity away from that. There's going to be a point in time where we kind of cut that off and say, you know what, let's give this to somebody else. We think the valuations we have reflect that we've gotten BOVs, pre rate cuts. So we think that as the cost of capital, and negative carry improve that the sale of those assets will be easier than when we attempted to sell them, a year and a half ago. So I would say some. We'll give it probably somewhere to around midyear. And if we don't have the leasing traction that we want, we will fish and cut bait. Cut bait, I'm sorry, stop fishing.
Eric Dray: Great. Thank you guys.
Operator: Our next question today comes from Matthew Howlett with B. Riley. Please go ahead.
Matt Howlett: Hi, Mike. Hi, everybody. Thanks for taking my question. Mike, you reference, you think funding costs are going to tighten in conjunction with loan spreads. And we've seen tightening in the origination market, particularly on the multifamily side. Can you just kind of walk over when you do a CLO, I'm assuming you're targeting mid next year, something that's $600 million, $700 million. What type of ROEs do you think you can generate in a CLO, or if you put them on warehouse lines in today's origination market, where spreads are, I guess, what sub 300 on multi?
Mike Mazzei: I think you could - let's talk about the relative value pickup. I think you could pick up - at least several hundred basis points in a CLO. The advance rates are roughly 86%, 87% versus 2021, for instance, where they were kind of low 80s, 81 to 3%. So the advance rates are higher. And we think that CLO spreads will really outperform our lending spreads. So we do think that there's going to still be a pickup. We're not concerned that with spread tightening, can our ROEs diminish? We're seeing spreads tighten at least commensurately on the CLO side. Let me give you an example. So you could be 300 multifamily spreads maybe have gone to 275, not maybe they've gone to 275. And can they go tighter? Yes, they can. When you look at our CLO in 2021 with a lower advance rate, the cost of funds in that was a weighted average of about 150, a spread of 150. And we look at the CLO we just did, the weighted average cost of funds, is probably a 100 - about 100 wider than that with a higher advance rate. Spreads on CLOs across the funds were 100 tighter in 2021. The base rate, the SOFR was zero. There was an awful amount of supply coming, and the collateral had much lower going in dividend yields, dividend yields that were 3% or 4%, or sometimes lower with exits of like 6% dividend yield, 7% dividend yield. So you've got better collateral, you've got a higher base rate and spreads are substantially wider. So you've got, and you've got a dearth of issuance. So I would expect that securitization spreads well outpace, any tightening in the whole loan market.
Matt Howlett: So you're talking sort of mid-teens, ROEs on these securitizations?
Mike Mazzei: Yes, yes, mid-teens. I'm sorry, I'm sorry I gave you the relative. I didn't give you the absolute. Yes, mid-teens.
Matt Howlett: Well, that's obviously in mid-teens very attractive. I thought it would be less than that. And you did a managed deal. So you're saying is there going to be like reinvestment windows for the deal you're going to do next year, or is that just the one specific towards the refinancing you did this year?
Mike Mazzei: We expect the reinvestment period in every deal. We do, yes. And certainly given that we've gotten the reinvestment on a deal. As I said in the prepared remarks where we expect the entire portfolio, is going to turn over, investors did comment to us that, they're giving us effectively a blank check. Because they know that what they see today, is not going to be the portfolio they see tomorrow. Because those loans will mature all within side the reinvestment window. So that once they've given us that, and if you give us a reinvestment window on a new deal, is use the word a layup compared to the leap of faith that investors gave us. And the reason why they made that leap with us, is because they saw the performance that we had in supporting our first two CLOs. We did not let loans linger in the CLO that went sideways. We pulled them out using our balance sheet over the course of two years. And investors remember that. And we did that for that reason that we wanted to protect our brand, and demonstrate to investors that we view them, as our lender effectively and that we were going to treat them that way. So that you got that halo effect in it. You got that halo effect in this deal, and we expect to get that going forward.
Matt Howlett: I appreciate that. And that really leads me to my next question. We could do the math. It tells me you could generate with your efficient internally managed operating base. You could probably do a double-digit ROE after expenses, on those type of returns. My question is this. We all look at the stock, we see the big discount to adjusted book. We see the higher dividend what appears. You guys internalized the structure several years ago, obviously went through this rate cycle. I want to hear Mike, what you think the differentiation with BrightSpire is versus the others out there. I mean you didn't really get rate started rising after you internalize it. We talk is that the internalization, is that the vertically integrated asset manager, what's the differentiation? As you get going, as you kind of stick your head out of the sand, and you get going again? What can you tell investors is the differentiator between BrightSpire versus the others?
Mike Mazzei: I would say that our asset management, and the fact that we are a special servicer with a name and rated special servicer on all of our CLOs. Again, the market, not just the rating agencies, but investors, have given us a huge thumbs up as a special not only as an issuer, but as a special servicer on our own deals. And when you carry that infrastructure internally into managing our own assets. I think the team has done an amazing job, and we've gotten a lot of high marks from the brokerage community where they correspond with borrowers, their clients, who've also given us a thumbs up of how we have handled the process with them. They're dealing directly with us, directly with our leadership team and our asset managers. There are no third-parties involved. Everything is contained inside BrightSpire. So from origination, credit underwriting all the way through our asset management, and at the tail end securitizing a loan and becoming the special servicer, our borrower contact from cradle to refinancing, or sale is a high touch all the way through the process. And that is a big differentiating factor for us.
Matt Howlett: And I'm assuming you could double the portfolio, you wouldn't really add that many incremental operating costs. You probably don't need to hire…?
Mike Mazzei: Absolutely. Given what we just went through, and what others have gone through in this period of time where everything was high touch. So you could have 80 loans, it felt like you had three times the number of those loans, because of the amount of effort you were watching, putting into watching over the portfolio and corresponding with borrowers on extensions. And buying caps and things like that. So, managing a much larger portfolio, we have the resources to do that. And so as I said, adding $1 billion in loans out of $30 million, average loan balances will be very easy.
Matt Howlett: I really appreciate it. Thanks Mike
Mike Mazzei: No additional infrastructure needs.
Matt Howlett: Absolutely. Thank you.
Operator: Concludes our question-and-answer session. I would like to turn the conference back over to Mike Mazzei for any closing remarks.
Mike Mazzei: Thank you all for joining us today. We're very excited as you can hear for us and prepared remarks and answers that, we are very excited about what's coming ahead in the fourth quarter, and look forward to reconnecting with you all in 2025. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may disconnect.